Operator: Welcome to the Onex Third Quarter 2019 Conference Call. My name is Catherine and I'll be your operator today. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded. I will now turn the conference over to Ms. Emilie Blouin, Director, Investor Relations at Onex. Please go ahead.
Emilie Blouin: Thank you, Catherine. Good morning, everyone, and thanks for joining us. We're broadcasting this call live on our website. With me today are Gerry Schwartz, Chris Govan and other members of our leadership team. Earlier this morning, we issued our third quarter 2019 press release, MD&A and consolidated financial statements, which are available on the shareholders section of our website and have also been filed on SEDAR. Our supplemental information package is also available on our website. As you may recall at the beginning of the year, we determined Onex met the definition of an investment entity as defined by IFRS 10. This change in status has fundamentally changed how we prepare, present and discuss our financial results. It's important to note that periods ending on or before December 31, 2018 have not been restated to reflect this change. Accordingly readers of our third quarter materials should exercise significant caution in reviewing, considering and drawing conclusions from period-to-period comparisons and changes as the comparison across periods can be inappropriate or not meaningful if not carefully considered in this context. As a reminder, all references to dollar amounts on this call are in U.S. unless otherwise stated. I must also point everyone to our webcast presentation for our usual disclaimer and cautionary factors relating to any forward-looking statements contained in today's presentation and remarks. With that, I'll now turn the call over to Gerry to discuss our recent activity.
Gerry Schwartz: Thanks, Emilie. Good morning, everyone. Today I'll provide an update on our activity within our private equity, our private credit and our wealth management platforms. In private equity, we've been really quite active with monetization. So far this year we've realized about $775 million of which approximately 70% was received in the third quarter. The majority of this came from the Onex Partners for sale of Jack's Family Restaurants, which by the way generated a terrific result with a gross return of 3.6 times our capital and a 38% IRR. We spoke about this on our last call, so I'm not going to revisit it today. Our other realization activity in the quarter came in the form of secondary offerings at both Clarivate Analytics and SIG Combibloc. These businesses have together driven great value over the years as well as in this quarter and today represent our largest private equity holdings. As you know, our funds typically acquire control positions and we focus on execution rather than macroeconomic trends. This allows us to drive important strategic decisions and affect change at the operating businesses. This takes work and time. Results are rarely immediate. But like everything we do, we're focused on the long term. Clarivate and SIG are pretty good examples of when we can do that well. With Clarivate, which was acquired in 2016, we spent the first full two years of our ownership, beefing up the management team and working to successfully carve the company out of Thomson Reuters. We also began the process of enhancing the organization's commercial capabilities by investing in its well-known products and streamlining its cost structure. In addition to that we completed three tuck-in acquisitions and divested one division. At SIG, our thesis in buying it was based on working with the management to implement and secure cost savings and to improve the effectiveness in particular of its sales force. This is exactly what we focused on through the first three and half years of our ownership. We also accelerated growth through geographic expansion and worked to invest in and to innovate the company's portfolio. Within the last year or so, each company has gone public and has returned to us a significant amount of capital. We've realized about half of our initial investment in Clarivate and more than 70% of our investment in SIG in the form of secondary offerings. Based on closing prices at September 30 and including realizations to date, our investments are each valued both of these companies at more than two times our cost. We're really happy with these outcomes. We remain the largest shareholders of Clarivate and SIG and hold about $1.4 billion of public market shares in these companies combined. We're excited to work with management of these companies on their respective growth trajectories. Let me now look at the investing side. We've deployed $155 million of capital in our private equity platform this year. And that, of course, doesn't include Onex V, Onex Partners V's pending acquisition of WestJet Airlines. ONCAP completed its eighth investment with the acquisition of the International Language Academy of Canada known as ILAC, which is the largest provider of English language training in Canada. Let me move on now from private equity to our credit platform. At the credit platform, we currently manage approximately $12 billion of capital. This is an increase of approximately 14% in the first three quarters of 2019. In the third quarter, we closed our 17th U.S. CLO and started warehouses for our next U.S. and European vehicles. Conditions though for new CLOs have been challenging. Funding costs have been moving higher, while credit spreads for the loans that we like to invest in have remained constant. We are taking our time finding the right assets that meet our risk-return profile but slowly but surely we're building up these warehouses for new CLOs. We're focused on growing our credit team. More specifically we're building out our origination capabilities for our private debt platform. We have two new people who joined us last month and that brings the origination team to five and we expect to add a couple more people to round out their expertise in the next few months. I'll now provide an update on our wealth management platform, Gluskin Sheff. Having completed our first full quarter of ownership not very much, I'm happy to see, the outflows we saw on the first half of the year have slowed significantly. Client capital under management is up 1% for the quarter with investment performance offsetting a modest net outflow. We've begun to introduce senior debt from Onex Credit to the Gluskin clients. And thus far we've received a really nice reception and they've invested a significant amount of money. We've also begun to expand our wealth planning services. We have two new team members joining us and expect several more hires in the coming months. The reason for this is the thoughtful planning and on-boarding of new clients is an important value-added service for Gluskin clients. As well, we're just beginning the integration of Gluskin and Onex support functions. We'll have more to talk about on that in the coming quarters. So to wrap up, we've had a good quarter of monetization activity. We continue to have a strong balance sheet with about $1.6 billion of cash and near cash and have more than $5 billion of committed uncalled third-party capital available to deploy in new private equity investments. We've also been laying the building blocks to support growth and to build value within our credit and wealth management platforms. One last comment, one of the cultural facets of Onex is our team's alignment and personal investment in everything we do. Today our team is $1.9 billion invested across our private equity platform, Onex Credit, Gluskin products and Onex shares. We all share in the risks and hopefully the rewards of our business. And together we're focused on one thing and that is growing shareholder value. Let me now turn the call over to Chris.
Chris Govan: Thanks, Gerry, and good morning, everyone. Onex reported net earnings of $100 million or $0.99 per share in Q3. As I've noted in prior quarters, my focus during these calls will be on segment earnings, which we believe best reflect Onex's results. Onex's segment earnings are computed before deducting stock-based compensation and the amortization of intangibles and most of our PP&E. We've defined segment earnings this way to be comparable to the basis on which many of our publicly traded peers report, and to be consistent with how we manage our business. Q3 segment earnings were $131 million or $1.27 per share. As has been the case in every quarter this year, Q3 segment earnings were driven by the investing segment, which contributed $1.26 per share. Onex continues to have a vast majority of its investing capital at work in private equity. So investing segment earnings will typically depend on the performance of our private equity funds. A 4% gross return from Onex's private equity portfolio in Q3 resulted in $146 million of net investment income. The returns were primarily generated in Onex Partners IV, which contributed a gross value increase of $235 million. Q3 is a continuation of a solid year for Onex private equity with gross return of 15% in nine months. The private equity gains in the quarter were partially offset by net losses on our credit investments of $18 million. Most of this is attributable to mark-to-market losses on CLO equity, which was negatively impacted by a somewhat weaker quarter for the broader loan market and lower demand for structured credit. But as those of you who were at our Investor Day last month know, we focus on our CLO platform's cash flow not mark-to-market fluctuations in the value of the investments. And on that basis, Q3 was another steady quarter for the CLO platform. $21 million of regular quarterly distributions and $11 million of management fees so $32 million of gross cash in the quarter on a little less than $500 million of invested capital. This next schedule details Onex's shareholder capital at quarter end and provides Q2 and year-end amounts for comparison. As you can see, there is not been any fundamental shifts in Onex's capital allocation. However, exposure to private equity did decrease in Q3 to just over $3.9 billion, mainly due to $540 million of realizations, including the sale of Jack's and the Clarivate and SIG secondaries which Gerry discussed earlier. These distributions from the funds were partially offset by net value increases primarily in OP IV. Looking near the bottom of the schedule, you'll note that the total investing capital has only slightly increased from the hard NAV, we reported at year-end. However, as I noted last quarter and at Investor Day there are some onetime items that are making strong year-to-date investing results a little hidden. Once you make the necessary one-time adjustments the change in investing capital is principally the result of our year-to-date investing segment earnings, $596 million or $5.79 per share, which represents a 10% return year-to-date a strong nine months. With that, I'll move on to the asset and wealth management segment, which generated net earnings of $1 million or $0.01 per share in Q3. The private equity asset manager incurred a net loss of $1 million in Q3 down from a net contribution of $17 million in the prior quarter. This decrease was the result of a $17 million reversal of mark-to-market carried interest, due to net decreases in the value of Onex Partners III. Since, we're not yet accruing carried interest on Onex Partners IV, the net increases in that fund's portfolio did not generate carry to offset the carry reversal from Fund III. The other item of note in the quarter is a $9 million contribution from wealth management. The first full quarter following our acquisition Gluskin Sheff on June 1, Gluskin Sheff added run rate management fees of about $72 million bringing the segment's annual run rate management fees to $328 million. As Seth laid out in his Investor Day presentation based on these run rate fees and a normalized level of private equity carried interest, the prospective annual contribution from our asset and wealth management segment is about $135 million, and we're working to grow that going forward. That completes my comments on the quarterly results. We'd now be happy to take any questions.
Operator: Thank you [Operator Instructions] And our first question comes from Nik Priebe with BMO Capital Markets. Your line is open.
Nik Priebe: Okay. Thanks. I wanted to start with a pair of questions on two of the operating companies. I'll start with Parkdean. I noticed there was another sequential improvement in their earnings on a quarter-over-quarter basis. Is the inference there that the company had kind of experienced a better peak summer season with respect to bookings and occupancy? Or is there anything else that's driving that performance maybe on the expense side that we should be aware of?
Bobby Le Blanc: Yes, it was a little -- it's Bobby. It was a little bit of both. We did have better bookings in the summer and we had better on park spend and Steve Richards, the new CEO, has implemented some cost saves. So we have had nice year-over-year growth and we hope to see that same type of growth in 2020, as that business seems to be on a better track.
Nik Priebe: Okay, okay. Got it. And then another thing that stood out to me was, there's a pretty sizable decline in the net debt position of Carestream Health on their balance sheet. It just struck me, as a better sequential improvement than I would have expected the quarterly cash flow to contribute organically. So I don't know if it was just something as trivial as some favorable working capital changes. But I was wondering if you could just shed a little light there on the improvement in -- 
Bobby Le Blanc: Yes. We had an asset sale of a division of our medical digital business and those proceeds were used to pay down debt.
Nik Priebe: Got it, got it. Okay. And then last one from me. Just as we're approaching year-end here, it's clearly been a very strong year for equity and credit markets. I was just wondering if you're starting to get better visibility into the performance fee potential for Gluskin Sheff, just given that a lot of those fees are mostly crystallized at year-end.
Gerry Schwartz: Yes. I don't think we'll be commenting on performance fees until we see them. It was driven by public markets and public markets can go up and down in a moment's notice. So we'll consider them in the bank when they're in the bank.
Nik Priebe: Yeah. Okay. Fair enough. All right. Thanks for talking my questions.
Operator: Thank you. [Operator Instructions] And we have a question from Paul Holden with CIBC. Your line is open.
Paul Holden: Thanks. Good morning. Just have a couple of questions based on some comments that Christopher made. I guess the first one is related to lower demand for structured credit. Maybe you can just expand on that point. And what's driving lower demand for structured credit?
Chris Govan: Yes. It's obviously Chris speaking in response, Paul. I don't think there was anything fundamentally changing in the market. It was more of a marginal change, I think, in terms of people's risk appetite for structured credit, which had the CLO slightly underperform what you would have expected, if you simply extrapolated the performance of the broader loan index. So I don't think there's anything significant afoot there, but there was just a sort of a slight change, I'll say, in the relative yields that people are demanding from structured credit versus more traditional or higher-rated credit.
Paul Holden: Got it. So it's not structural. And your take on it is it's marginal versus significant in terms of the risk pricing for this asset category?
Chris Govan: Yes. That's right, because -- just to put it in context, I think, the CS Leveraged Loan Index is up like on an annualized basis kind of in the 3% or 4% range in the quarter. But, as you know, that class yields 5% or 6% or more. So, although, it was up, it was actually up less than it yielded, which really means that pricing was off a bit. So you should expect that the CLOs were off a bit on a mark-to-market basis and that was just a bit more than you would have expected because of the other issue.
Paul Holden: Got it. Okay. That's helpful. And then, second question is related to the carried interest reversal in OP III, what was driving that?
Chris Govan: Yes. It's just mark-to-market, Paul. That we're in a position where -- essentially, most of our carried interest that's accrued lies in OP III whereas we're not yet accruing carry in OP IV. So we had nothing huge but on an overall basis, there was a net mark-to-market write-down across the OP III portfolio in Q3 and that just flows through Onex's eight points of carry on that fund, just flows through as a reversal of carry in the quarter.
Paul Holden: Sorry, and that's on publicly traded companies?
Chris Govan: Including publicly traded. Yes, yes.
Paul Holden: So was there some kind of markdown on non-publicly traded, the privately held?
Chris Govan: Yes. I think, if you do the math, it's not all attributable to the public investments. So there were some relatively small write-downs in other parts of the portfolio. But, as you know, we mark our portfolio to market every quarter. We don't have a rule of trying to keep things marked at the same level they were at the quarter before. We take a fresh look at everything each quarter and so small fluctuations are going to happen across the portfolio every quarter.
Paul Holden: Sure. Got it. And then one final question from me and this is more of a macro one and I've probably asked this question two or three times in past calls, but going to ask it again. U.S.-China trade-related tariffs, potential for tariffs now maybe to get reversed. Can you remind us just what has been the impact, if any, from existing tariffs? And therefore is there any potential benefit, if tariffs are unwound here?
Bobby Le Blanc: Onex Partners' perspective, the tariff issue has been relatively small. There would be a slight benefit for one or two of the businesses if that were to be resolved, but nothing meaningful. Anthony, the ONCAP side?
Anthony Munk: Yes. We have a few businesses with probably a concentration in ONCAP for where there is an impact from the tariffs. We've tried to mitigate the impact through price increases and cost reductions from vendors and value engineering of certain products. So we've done our best to try to offset that, to the extent that there's a reversal that will be a benefit.
Paul Holden: Got it. Okay. Thank you.
Operator: Thank you. [Operator Instructions] That concludes our question-and-answer session. I'll now turn the conference back to Gerry Schwartz.
Gerry Schwartz: Thanks everyone for participating today. We appreciate your support. And as always feel free to contact Emilie if you have any questions. We're looking forward to speaking with you again next quarter. And in the meantime enjoy this absolutely gorgeous trough all day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect. Everyone, have a great day.